Operator: Hello. This is the conference operator. Welcome to the Brookfield Renewable Energy Partners Third Quarter Conference Call and Webcast. [Operator Instructions] And the conference is being recorded. [Operator Instructions] At this time, I'd like to turn the conference over to Richard Legault, President and Chief Executive Officer of Brookfield Renewable Energy Partners. Please go ahead. 
Richard Legault: Thank you, operator. Good morning, everyone, and thank you for joining us for our third quarter conference call. With me on the call is Sachin Shah, our Chief Financial Officer. 
 Before we begin, I would like to remind you that a copy of our news release, investor supplement and letter to unitholders can be found on our website at brookfieldrenewable.com.
 Our objective in forming Brookfield Renewable in November of 2011 was to create a global pure-play renewable power company, but more importantly, to continue to build its asset portfolio and operating platform into one of the leading renewable businesses worldwide. In 2012 alone, we've expanded our asset base by more than 600 megawatts or 13%, while lowering our funding costs and increasing our distributions to unitholders. Over the last 12 months, our total return to unitholders has been about 30%, reflecting unit price appreciation, as well as quarterly cash dividends, which have been increased twice during that same period. It is clear that with the support of all of our stakeholders, Brookfield Renewable has been very successful in its first year, and we remain very well-positioned to build on our achievements in the coming year and beyond.
 Our overall financial results over the last 2 quarters has been well below expectations due to unfavorable hydrology. While disappointing when they occur, these variances from long-term average generation, including large ones from time-to-time, remain a normal part of the hydrology cycle. For example, whereas inflows in New York and Louisiana have been considerably lower than average this year, it was just last year that those regions experienced record rainfall and even flooding. It is for this reason that we focus on optimizing our operations in all kind of conditions and manage our business to long-term average generation, and this approach has and will continue to serve us well over the long haul.
 In terms of portfolio expansion and new assets, the integration of the 378-megawatt hydro portfolio from Alcoa has gone smoothly and is nearing completion, as the acquisition is expected to close by the end of 2012. We continue to be impressed by the quality of these assets and their potential to add significant value to our business over time. 
 Construction activity at all 3 of our hydro development projects is on scope, schedule and budget. At the 45-megawatt Kokish River site in British Columbia, clearing and excavation was completed at the intake and powerhouse site, and the first kilometer of the project's 9-kilometer penstock has been installed.
 In both -- in Brazil, both the Pezzi and Serra da Cavalinhos facilities, with a combined capacity of 48 megawatts, remain on track for completion in Q1 of 2013.
 In terms of new growth prospects, we continue to identify and evaluate expansion opportunities in North and South America, as well as Europe. Our growth strategy is focused on securing large-scale renewable power assets or portfolios in our core markets, and our view remains that this is an attractive time to be growing our portfolio on a value basis.
 With international growth as one of our key objectives, we are pleased to welcome Lars Josefsson to our Board of Directors. Lars was the CEO of Vattenfall from 2001 to 2010 and steered its growth into one of Europe's largest diversified energy companies with a significant hydroelectric and wind portfolio. He is an experienced senior executive with a wealth of power industry expertise, and we look forward to his presence on the board and his contributions to achieving our goal of building one of the premier renewable businesses in the world.
 On a final note, I want to take a moment to acknowledge the outstanding work and commitment of our colleagues at numerous facilities that were in the path of the recent storm known as Sandy. Our operations team used their expertise, training and response processes to protect the well-being of our employees, the general public and the system. The professionalism and the dedication was integral to effective storm preparations and the continued safe operations of our assets in the surrounding communities before, during and after this historic storm.
 I'll now ask Sachin to discuss our financial and operating results, as well as the progress we have made on our capital markets and funding strategies. 
Sachin Shah: Thank you, Richard, and good morning. Generation was well below long-term average in the third quarter, approximating 3,000 gigawatt hours and reflecting low precipitation levels and inflows across Eastern Canada, New York State and the Midwestern United States. Generation was 26% below average during the quarter and 13% lower than long-term average on a year-to-date basis. Generation from our wind facilities was 300 gigawatt hours, an increase of 200 gigawatt hours from the prior year due to contributions from recently commissioned and acquired facilities in California and New England, as well as the Comber Wind facility in Southwestern Ontario, which was commissioned in the fourth quarter of 2011. Generation for the quarter was below long-term average, which was reflective of the mild wind conditions we experienced in Ontario and California during the third quarter.
 Adjusted EBITDA and FFO in Q3 were $118 million and $11 million, respectively. As in Q2, the generation shortfall was generally greater in markets where contract prices are higher than our portfolio average. As we look beyond Q3, I can tell you that generation levels from our hydro portfolio for the month of October have returned to average levels in our U.S. operations due to the recent precipitation we experienced. Additionally, our wind farms in Ontario and California are performing above expectations.
 As Richard mentioned, our management and operating approach means that we maintain a strict discipline aimed at ensuring adequate liquidity for operations. Accordingly, we have focused on optimizing our working capital balances, reviewing capital spending and maintaining a prudent payout ratio based on sustainable long-term performance. As a result, we have been able to maintain our capital investment this year and expect to invest approximately $60 million into our facilities during 2012, in line with our long-term targets. At the same time, our liquidity position has remained strong and has increased since quarter end due to our recently completed preferred share issuance. We currently have approximately $1 billion of liquidity consisting of cash and the available portion of committed bank lines.
 Since the beginning of the year, we've completed over $3 billion of capital transactions, including acquisitions, financings and offerings. Recent activity includes the $250 million offering of preferred shares, as well as the $175 million financing of the Kokish River Hydro project with a term of 41 years. Both of these initiatives were completed at an average yield of 4.4%. These financings have provided us with access to stable, long-term sources of capital at very attractive rates and demonstrate the strength of our capital structure.
 Over the last several quarters, we've also optimized our financial position by strategically reducing the costs in our borrowings by approximately 50 basis points on the total debt portfolio in our business. We expect that our units will be listed on the New York Stock Exchange by the end of 2012, which should enhance our trading liquidity and further access to capital, supporting our growth prospects in 2013 and beyond.
 Based on our results to date and generation outlook for the rest of the year, our distribution payout ratio for 2012 should approximate 95% of FFO, which demonstrates the resilience of our business considering the generation shortfall we've experienced over the last 2 quarters. We expect that our payout ratio will revert back to the target of 60% to 70% of FFO annually as generation levels normalize.
 The underlying value of our business today approximates $32 a share based on our most recent IFRS valuation. This value assumes the current market environment for prices and interest rates and uses our best estimate of future contractual revenues. As we look ahead beyond the first year of BREP's existence, our objectives are simple, increase distributions by 3% to 5% annually and grow the value of each share to deliver a 12% to 15% total return to our shareholders. In that regard, we believe there is an incremental $6 to $8 of value per share that we can surface through re-contracting expiring PPAs, accretively reinvesting surplus cash from operating and financing activities and from pursuing high-value projects in our development pipeline. These initiatives are in addition to the significant value we can create through our global M&A strategy, which has fueled substantial growth over the last 10 years. With a strong cash balance sheet and liquidity position and a focus on organic and external growth opportunities, we believe we are well-positioned to deliver on these return objectives.
 That concludes our formal remarks today. Thank you for joining us this morning. Rich and I would be pleased to take your questions at this time. Operator? 
Operator: [Operator Instructions] Our first question today comes from Juan Plessis of Canaccord Genuity. 
Juan Plessis: My first question is in regard to some of the issues that have been going on in Brazil with respect to the renegotiation of some of the concessions that are up for renewal over the next couple of years. Can you talk a little bit about how the reductions in electricity prices for these renewal of concessions impact your expectation for power prices when you renew your contracts in the next couple of years, and perhaps what the government's recent actions means for your appetite to redeploy capital in Brazil? 
Richard Legault: It's Richard, Juan. So I think -- let me answer the first part but provide a little bit of context to this. First of all, the government of Brazil has certainly, I'd say, made it very clear that one of its objectives in light of sort of a slowing economy in Brazil was to try and reduce rates to consumers in order to actually help the economy in terms of its growth prospects. So they have 2 strategies that they're employing to actually achieve that. The first is reduced charges and certainly the taxes relating to electricity sales in Brazil, which obviously, I think, we can all say we're very supportive of that approach. The second is to actually convert concessions that were coming due between now and 2017 and to convert those concessions into cost of service models. And to achieve that, what they were doing is giving the incumbent, the concessionaires, the right to actually receive the undepreciated replacement value of the plants that they operate today. The second component is that they would be entitled to continue to operate the facilities for a further 30 years by essentially having a cost of service model, therefore, just flowing through their cost of producing the power from these facilities. So achieving what the government is trying to accomplish, which is by reducing the actual sale price that they're entitled, they would reduce prices to consumer in the regulated market, I must add. So that's really the context. And when we look at the impact of this proposal, it is very difficult at this stage to actually evaluate. There's been lots of different things written on the topic. But just to put it in perspective, there's over 400 amendments in front of Congress that today is being evaluated on this piece of legislation. So, again, to actually be precise about the impact on prices, I would certainly think it is premature for me to give you some insight into that this morning. However, I would say that we're very much focused on 3 key drivers in Brazil. The first is, we continue to think that demand growth, meaning GDP growth of the country, will drive the actual demand for power. We've had a position for a number of years where 5,000 to 6,000 megawatts per year is required, and we continue to think that, that is exactly what's going to occur in the future. Particularly, if prices are reduced in power in Brazil, therefore, it should stimulate demand for electricity and, therefore, increased demand. The second driver is the supply response. And our experience in Brazil is that the supply response has been not necessarily just in time, it's been slow and, ultimately, sometimes late. And today, what we understand to be on the drawing boards in terms of construction or development will fall short to actually service that 5,000- to 6,000-megawatt demand growth year-over-year. The third driver, just to make sure, and I know this is a lengthy answer to your question, but hydrology in the country is a very critical factor. It actually should not be a long-term driver, but in the short term, it does drive prices up and down because of the fact that if it's a dry year, there really is very expensive resources they have to bring online to service that demand. So coming back to your question, Juan, the first one being what's the prospect for and the impact on prices, in the near term, maybe it does put some downward pressure on the overall market because the concessions that are being targeted here are about 22,000 megawatts, they're large plants, hydro plants, owned by state-owned companies for the most part. And essentially, once that's in the system, it really will be driven -- the prices and the expectation should be driven off GDP growth and the supply response to that -- to the growth and demand of electricity. So we're still bullish and we still think that in 2014, '15, that prices should be attractive. And if they are not, because of these measures, then we would probably revert to shorter-term contract because longer-term, we think the fundamentals will come back. The appetite for Brazil, I think, remains the same, like this is a country that we continue to feel that is really going to have a significant growth in Latin America. And we continue to think that investing there is the right strategy for us, and we're still bullish on what the prospects for, particularly, hydroelectric facilities, in that country may be. So that -- long way to answer your question, Juan, but I wanted to make sure that I respond fully to that particular aspect. 
Juan Plessis: No, that was great color. And maybe you can remind us when your concessions on the Brazilian assets begin to expire. 
Richard Legault: Well, we have 4 very small plants that I would say fall within that category, and these are small concessions that we acquired from a company called Energisa a while back. But these don't probably add up to less than 15 megawatts in total. Then when you look at sort of the other concessions, the more probably nearest term would be Itiquira in 2024. 
Operator: The next question comes from Bert Powell of BMO Capital Markets. 
Bert Powell: Rick, I just want to talk a little bit about your -- the acquisition M&A opportunities for Brookfield Renewable. You talk about Europe and North America and South America. I'm wondering if you could just give us a little bit of color in terms of what you're thinking in each of those markets, and my assumption would be, given where prices are in the U.S., it's probably a pretty attractive time to be shopping. So I just want to get a sense of your pipeline and what you're thinking about each of those markets. 
Richard Legault: Well, your last comment would probably be -- form part of my answer, which is at current sort of price environment in a lot of our markets. And I should say just the U.S. obviously is a very attractive market right now because of where prices are. So if you have capital and you can invest and have a long-term value perspective on these facilities, I think it's a great opportunity to acquire facilities today. Brazil's no different because the same dynamic, as we've just said, if the government does reduce prices, and we believe in the long-term dynamics and fundamentals of that market, it's very attractive to go sort of buy something. When you look at 2012, whether it is the Smoky Mountain facilities that we acquired from Alcoa, whether it's Alta VIII, whether it's Western Wind acquisition or Santa Ana in Brazil, we seem to be looking and certainly finding very good quality assets at values that we think are very attractive over the long term. So to answer your question, we think that those -- that our core markets are extremely sort of -- today, we are bullish and certainly optimistic that we can secure further acquisitions on those fronts. I would say the other markets that we've looking at, and I've said this in other conference calls in the past, 2 markets: Australia and Europe. I've said before, I think Australia, still a very attractive market, a very attractive environment for us to invest but dominated by very large players. So an entry strategy in Australia is very difficult, if you ask us. So do I see something in the immediate term? Not for the moment, but we continue to look. Europe, obviously, this is a place where we feel there is a number of opportunities to deploy capital. There is obviously risk that goes with that capital. So we're being very patient and doing our homework and looking at all of the things that are going on in Europe and trying to make sure that if we do acquire something, our first choice has been, as we've said in the past, to acquire portfolios from European companies, but that would actually own assets in our core markets, meaning North and South America, or to acquire something in Europe that is of the size and the risk profile that fits what BREP is looking for today, which is stable cash flows and, ultimately, some technology that we are competent and capable in. So that would be sort of the 2 areas, I would say, to answer your question, Bert. 
Bert Powell: Okay. And a question for Sachin. Just in your comment, Sachin, you talked about October return to average levels in the U.S. Did you mean North America? Is Canada not come back in October? 
Sachin Shah: Yes, I meant the U.S., Bert. I mean, I'd say Ontario has still been a challenge, and I wouldn't want you or anyone in the call to have the view that, that's come back to average levels. It's better, but I think the U.S. has certainly shown a great response based on the precipitation we received. 
Bert Powell: Okay. And then just lastly, Sachin. You talked about surfacing $6 to $8 of value. I assume you mean an addition of $32 of IFRS that you currently have? 
Sachin Shah: Absolutely. 
Bert Powell: Okay. And this is just -- you went through pretty quickly, but this is just an opportunity to re-contract. There's a bunch of little things that add up. It's not necessarily a change in assumptions around discount rates or those kinds of things? 
Sachin Shah: You're -- absolutely. I think what we're trying to say, Bert, to our investor base and stakeholders is that there is a very active M&A program where we can deploy capital, and we need to issue equity over time to do that. But there's also a very large opportunity set organically in the business to surface value without having to issue shares, and we're very focused on both. And you're right, there's a number of smaller things that we're focused on that can lead to $68 of value over time, and that's the piece that I just wanted to highlight. 
Operator: The next question comes from Andrew Kuske of Crédit Suisse. 
Andrew Kuske: I think I might have been in either the letter or the supplemental where you talked about lowering your borrowing cost by about 50 basis points. Could you just put that into context on the decline in nominal? And then also any discussion you have around extending your duration in your maturity schedule. 
Sachin Shah: Sure, Andrew, it's Sachin. Yes, I mean, I guess what we've been focused on very actively through the year is taking advantage of just the very low rate environment. I mean, clearly, there's a lot of folks who think that we may be in a prolonged low rate environment, but our view is that if we can maintain or extend duration in this environment and refinance near-term maturities at better all-in rates, then that's something that will surface significant value over time and just accrete more cash flows back to our equity holders. In terms of the 50 basis points on our total $6 billion portfolio, we've been able to repay higher yieldings debt in the business. In particular, we had a few pieces of debt in Brazil that we paid down in the earlier part of the year, and we've been able to finance the business on a long duration low rate basis, similar to the 2 financings we completed in October that we just referenced, Kokish, 41-year financing at 4.45% and a preferred share issuance at 4.4%. So those are the types of things we're working on, and we've seen a real benefit in our capital structure as a result. 
Andrew Kuske: So if I could just continue on the point of the extent of the duration. How do you think about that just from a cash flow basis? Because, obviously, you've got a lot of inflation riders on your contracts. You effectively get a cash flow enhancement over a period of time where you've locked in your interest cost, which is a bulk of a capital base underlying some of the facilities. So how do you think about your return on capital, really, over a period of time on a going-in basis and then, say, on an exit basis when the debt rolls off or matures? 
Sachin Shah: Yes. I think the way we think about it is, ultimately, you can take advantage of low rates in 2 ways. You can play the whole floating rate game, which is something we don't do and we've -- I mean, you're fully aware, with many of the Brookfield companies, we would opt for a very long duration and pay that spread. But you're right, these are real return assets, which generally will benefit from some form of inflation protection, which we do have in many of our PPAs. And our view is that going into a transaction, we will evaluate the returns based on the current cash flows and our view of future value. But at the back end, if inflation works in our favor, we want to capture all of that and keep that for the shareholders by locking in the current rate environment for as long as possible. If you look at our debt portfolio, both at the corporate and the nonrecourse level, they are 9 and 10 years in duration, respectively, and we think that provides significant cash flow certainly on the capital side, with lots of potential upside cash flow value coming back to shareholders due to rising prices or a mildly more inflationary environment. 
Andrew Kuske: Okay. That's very helpful. And if I may, just 1 final question, really, directed to Richard, and it relates to the new board appointment. To what extent does this really help you from a European standpoint? Because, obviously, Vattenfall is a very large player in Northern Europe, so there's a wealth of connections that really go with that. And then to what degree does this also help you in things like your district heating systems where other parts of the Brookfield group now have exposure because those systems are usually quite predominant in European utilities? 
Richard Legault: Well, certainly, I think Lars brings a wealth of experience and expertise. He's certainly very well-regarded in the European power space. So we're extremely pleased that he's accepted to join our board. As you know, our board -- Brookfield has been quite present in North and South America in the power space. So we really wanted to add to the, call it, resumés of people that are involved in our business today someone that actually had the European experience. So I think it will certainly help, and, certainly, I think Lars has a number of relationships that I'm hoping that will be helpful to us in growing our business. On the second part, sort of -- I'm not sure I caught that last part of your question. 
Andrew Kuske: Just on district heating and -- so another part of the Brookfield group, Brookfield Infrastructure Partners, along with the institutional capitals that are involved in the district heating system. They made comments about liking that business and being involved into a greater degree. Do you see any opportunities for BREP within that business? 
Richard Legault: Well, I think the answer is BREP is kind of more in the renewable space. District heating is very much a different business. And, as you know, Brookfield Infrastructure Partners invested in the Enwave facilities in Toronto. So I think this is -- I think they're quite excited about the prospects for that. And you're absolutely right that in Europe, it is certainly a business that would offer, I think, a lot of potential. So can Lars help the group on that front? I would think that there is lots of areas that he -- that overlap in Europe with district heating. I don't think it's an opportunity for BREP, but it certainly -- I think based on what my understanding of BIP's objectives are, that it certainly is a pretty neat opportunity for BIP. 
Operator: The next question comes from Ian Tharp of CIBC World Markets. 
Ian Tharp: So turning to the quarter, obviously, very dry conditions, Sachin, you alluded to, and, Richard, in your comments. So is there -- I guess you're seeing recovery in the U.S. in Q4. Is there any thought that there'd be a spillover effect -- certainly, we were well below long-term average in Q3. Is there any spillover effect that you would anticipate into 2013 given the dry conditions over the last couple of quarters? 
Sachin Shah: I would be really hesitant to make that type of a projection. I think what we know from the portfolio is it can turn quickly. As we saw in the month of October, significant precipitation can really change the dynamic. That being said, we don't -- as much as it's easy to focus on very short-term weather patterns given that we have to report quarterly, this is about long-term averages in a very long cycle of hydrology. And one of the things that if you look back over the last 5 years of this total portfolio, recognizing that a portion of it was public through the old income fund and a portion was privately held in Brookfield, you could easily point to 2 out of the 5 years being, on a total portfolio basis, above long-term average meaningfully and 2 being below and 1 being right at average. So we have a lot of conviction in the long-term analysis that we do and the weather patterns that we are exposed to. But clearly, I wouldn't want anyone to infer that the spillover will just create a malaise. Is that fair? 
Ian Tharp: Yes, absolutely. And I understand the long-term cycle there. So in Q4, Sachin, you talked about, I guess, 95% of -- payout being at 95% of funds from operations probably for the year. Does that assume a return to long-term averages for each of the regions? 
Sachin Shah: We don't assume it on a binary basis sort of starting on October 1. We do have a forecast of where it will get to, but we have not included a return for Ontario in that projection. And I think what we've seen in the U.S. is slightly better than what we were anticipating. 
Ian Tharp: Okay. And then I'd assume in 2013, the numbers that you referenced assume just long-term average production in the year. 
Sachin Shah: Yes, absolutely. 
Ian Tharp: Okay. And then just finally on this point, is there any risk that the long-term averages would be revised down on -- I guess, in particular, the hydro side? 
Richard Legault: So it's Richard, Ian. As you know, like, we do this work every time we acquire, and that's -- would go like when we acquired Smoky, the Smoky Mountain facilities, no different. We do as long as possible sort of data set, and we analyze hydrology throughout time. I think we continue to revise that because every year we operate, we add a year of data. So we continuously sort of update our numbers. So at this stage, we certainly are very confident that everything we've done -- and like we say it's -- the -- clearly, I think, these last 2 quarters have been severe in terms of shortfall and, at the same time, rare but not unheard of. So what we continue to believe, that our long-term averages are solid, and that's what we continue to sort of work to. 
Ian Tharp: Okay, helpful. And then, Richard, going back to your very helpful commentary on the Brazil market, you had mentioned that in a low hydrology year for Brazil, they start bringing very expensive assets up to the top of the merit order. So by that token, do you see that there might be a little less interest in hydro-based capacity as the country builds out its capacity? And I guess the next part of that question is, would that lead you to be a little bit more interested in some of the other technology classes that might provide growth opportunity in Brazil? 
Richard Legault: Well, Ian, I think that if you sort of look at Brazil today, the lowest cost resource is always the best sort of -- the best bet, because in the end, the lowest cost resource will always be the most profitable, if, again, the most expensive resource sets price. So I think that we continue to think that the hydro space in Brazil is the low-cost resource that the country can bring on, on stream. When you look at sort of bringing in gas-fired facilities, wind, even biomass to some degree, it has, clearly, I think, a competitive cost. But on natural gas or oil-fired, obviously, that's going to be a lot more expensive than what we've seen in the hydro space. So again, I don't think that it changes our perspective, it's just that it is a -- it has less fuel diversity than most markets, so that when hydrology is low, then ultimately, that has a more severe impact on prices. But when hydrology is high, then clearly, the prices go back to where they should be, I think, on a new entrant basis. And that's -- I would think the most competitive resource is hydro. 
Ian Tharp: Okay, that's helpful. And then we have talked about Australia, Europe, Richard, in terms of M&A opportunities. I wonder if you can talk about some of the other markets that might exist in South America for opportunities, for example, either Peru or Chile. 
Richard Legault: Well, I think in Peru -- I'll start with Peru and Colombia. I think -- Colombia is a bigger market. We actually have a little bit of a footprint in the group there by having acquired a distribution business, and that was acquired by a fund and BIF. But when you look at sort of Colombia, we think that's a great opportunity to look at -- for hydro facilities in that country. But it is still a very small market. So I wouldn't want you to think that we're going to, in a big way, deploy significant capital in that country. Peru is even smaller. And ultimately, like I say, there are opportunities, but I wouldn't say these are huge markets in which we can deploy significant capital. Then Chile, I think, has been something that because the group owns the transmission businesses in Brazil -- or in Chile, we're precluded from investing in generation because they go right up the chain no matter what. So Chile is not a market in which we could invest in the renewable space, to begin with. So that leaves Brazil, Peru and Colombia. Brazil being -- continues to be the most -- the largest market and the biggest potential for us. 
Ian Tharp: Okay, very helpful. And then, finally, the Alcoa assets. Certainly, it sounds like integration is going well to date. I wonder if you can speak to any of the efforts that have been made at this early stage around potential re-contracting of those assets once they roll off, I think, in 2014. 
Richard Legault: Yes, I think the focus has been more to ensure that we can -- when we close, that we have everything we need and that we can operate these things safely and that we can operate them within and comply with all of the different things that we need to comply with as part of our licenses. So the actual re-contracting of them in 2014, we're kind of very early stages of that, but we continue to look at the dynamics of that market and continue to think that this is a great -- it's a great market. One, it has growth that is much more significant than the Northeast would be. So growth in that particular jurisdiction is probably twice as much as what the Northeast growth of demand would be. And in addition to having significant amounts of coal, that will actually sort of, I think, today, -- and don't take me -- don't quote me on this, but the elections, I think having Obama come back into power, clearly, I think we believe that coal facilities will continue to shut down, which is positive for the Smoky Mountain facilities, so particularly in that particular time frame of 2014, '15 and '16. So these will be valuable assets going forward, and we're quite optimistic as to what we can do with them from a market perspective. But it is very early goings. 
Operator: The next question comes from Nelson Ng of RBC Capital Markets. 
Nelson Ng: Most of my questions have been answered, but I just have a few additional ones. For the Kokish facility, I believe that's a partnership with the First Nations. Is it a 50-50 JV? 
Richard Legault: No. It's actually 25% First Nations, 75% Brookfield. 
Nelson Ng: Okay. And how will that be financed? Will they be putting like real equity? Or will you be providing a bridge? Or is there some other, like, preferred return arrangement? 
Richard Legault: It's a good question. I think we are providing them some financing for their share of the equity required for this facility. If you've actually sort of noticed, we've completed a financing for Kokish. So a substantial part of the actual project because of the nature of the contract, which is 40 years, will be financed through debt. So the remaining equity, we will provide them a loan at certainly market terms. That -- the goal is really to have them repay that loan fairly quickly so that we have a true partner. And I think -- one thing, the 'Namgis have been a great partner. They've helped in terms of developing this project, supported it in a big way. And I do think that going forward, we think the alignment of interest here are certainly, I think, one of the better projects we've worked with First Nations in Canada up until today. 
Nelson Ng: Okay. Sachin, you mentioned that you paid down some Brazilian debt earlier this year to lower your overall borrowing cost. Like, is there a longer-term strategy to, like, move -- effectively move debt from Brazil to North America? 
Sachin Shah: No, I -- definitely not, Nelson. I mean, clearly, financing -- if you look at our 2 projects under development today, we've got local currency development debt there on a long duration basis. I think we just had a couple of pieces in the portfolio of debt that we didn't like the spreads that we were paying and the interest carry. But our overall financing strategy is still a local currency strategy so we can mitigate the currency exposure to our invested capital. And Brazil is no different in that regard. 
Nelson Ng: Okay. And just 1 last housekeeping item. And what's the expected, like, maintenance CapEx for the rest of the year? And I was just wondering whether there's any large, like, maintenance programs coming up in the near-term? 
Sachin Shah: So we are projecting a total CapEx spend this year of approximately $60 million. We've completed about half of that work, and I will say that the remaining half, it's -- clearly, there's a lot of work to do from now to the end of the year. But nothing is -- no 1 project individually is material or problematic in terms of what we need to do, and I would suspect that there is a likelihood that some of that may spill over into 2013 but nothing that gives us any cause for concern. 
Operator: The next question comes from Matthew Akman of Scotiabank. 
Matthew Akman: One area we haven't touched on much is Ontario, and there have been a lot of political machinations and concerns among some of the companies about renewals of gas-fired contracts. I'm wondering how you guys are feeling about Ontario and the environment here right now. 
Richard Legault: It's Richard. So I assume you mean generally in terms of the environment to invest in Ontario? 
Matthew Akman: As well as specifically related to -- I think you have 1 gas plant? 
Richard Legault: We do, yes. So let me just -- investing in Ontario over a long period has been, I think, very successful for us. We have great assets in the province. And, obviously, this is no different than -- there is lots of things that are moving around from a regulatory perspective. There is an excess of baseload generation in the province, so meaning that there's -- in hours where there's not a need for the power, there is an excess of power that typically services, and it's hard to actually shut down, so typically, nuclear plants, et cetera. So the dynamics from a demand -- supply-demand perspective are clearly not positive right now in Ontario. But coming back to the fundamentals that we have in that province, in 2009, we basically contracted all of our hydro portfolio. So when we look at our portfolio, we're extremely well-positioned in that province. There are 2 areas, I would say. One is the gas plant. So it's a nonutility-generating contract that goes back to the early 1990s. That is coming due in 2014, and we are trying to negotiate with the government. But, obviously, I think not just Brookfield but everyone in the context of the surplus baseload generation that we talked about, trying to do that at this stage is more difficult than ultimately would be -- should be supply-demand dynamics be more positive. So we're still working with industry participants and, certainly, I think, looking to make sure that these assets continue to be productive in Ontario. And I think that the alignment of that particular goal is quite prevalent, I think, with the government, the OPA, and industry participants. It is more the context and the timing of them that is the issue. So on NUG contracts, that would be -- I'm not sure if there were other aspects of the Ontario market that you want me to address? 
Matthew Akman: No, I guess I'm just wondering -- I mean, people talk about the political risk in Brazil, and that gets a lot of profile. Given the machinations about plant cancellations in Ontario, Brazil, electricity market reform or just the dramatic economic downturn initiatives in Europe, I mean, where would you guys rather put your money right now? Or is it just the strategy of let's diversify across a lot of jurisdictions because there's issues everywhere? 
Richard Legault: Well, the -- as they say, risk and beauty is in the eye of the beholder. So when you look at sort of these various markets, the common threat here is worldwide economies are struggling to sort of kickstart their economies and grow their economies. So whether they're moving around rules to be able to facilitate that, which is very much what Brazil is doing today, or the same is occurring in Canada in many jurisdictions. But there is -- I would say there is political and regulatory flux across all jurisdictions. So diversifying geographically, as you put it, I think, is very much part of our plan. So we think that if we invest in different jurisdictions and, certainly, I think, understand the risks and factor that into what we're looking for in terms of return, it's an appropriate and, certainly, I think, a very positive time for us to deploy capital for value because with complications and what we're talking about in various jurisdictions, I think there is a better value proposition that's offered to us if we can deploy the right resources to understand the risks. So I think diversifying geographically is part of our strategy. Diversifying from a technology perspective has been part of our strategy as well, but I would say that the primary focus of our teams today would be on geography more so than technology. 
Operator: [Operator Instructions] Our next question is from Steven Paget of FirstEnergy. 
Steven Paget: On Pehonan, first, could you please update us on progress there? And second, on a more general basis, when you look at Canada, do you see further opportunities to build assets like this? 
Richard Legault: First part of your question -- I'll answer the second part of your question first, which is the potential to build larger-scale hydro projects in Canada because Pehonan -- just that for context, Pehonan is a 250-megawatt project that we are developing on the Saskatchewan River. I do think that there is a tremendous potential still in Canada, mainly, I would say, Ontario, Québec, Manitoba, to some degree, but I think BC would be the other place. Now the potential is there, but infrastructure is scarce to actually connect them back into a place where they can be productive in service load or service demand. So there are challenges, but I do think there is a potential to do this. So coming back to the first part of your question on Pehonan, I think that there is -- the Saskatchewan government and, certainly, Sas Power, has been looking at all of the alternatives, and today, I would say that we've slowed down our development efforts on Pehonan. Simply put is that they're evaluating whether there are other more economically -- economic dispatchable assets that they can build for that market and their needs. But I do think longer-term, this is a project that, like we say, this is all site-specific. So the site is very attractive. We had the support and have the support of the government over the longer-term, and it's more about timing of when you actually develop this project. So I would say those activities have slowed down today. 
Steven Paget: I appreciate that update. Second, and I understand there's a process ongoing, but on Western Wind, is the opportunity that you see largely based on the development potential of the U.S. assets that haven't been built out yet? 
Richard Legault: Yes. Like -- I can say that in Western Wind in the third quarter, we acquired 17% of the shares. We do believe the company's portfolio is attractive and complementary to our Western facilities or Western asset base, so whether that's operating facilities or, in addition, some of the development opportunities that they may have. Again, when you look at California and our footprint on the West Coast, like I say, this is attractive and complementary. So we're certainly, I think, very comfortable with the value of our investment in those shares and see a potential in the future. As you know, the company has made it very public that it is -- it has an ongoing sale process to sell the company, and we're monitoring that situation very, very closely. 
Operator: We have a follow-up question from Ian Tharp of CIBC World Markets. 
Ian Tharp: Richard, just picking up on your comment regarding the market share in Canada. We haven't spent a lot of time aside in Ontario, but Québec certainly has one of the more active processes expected in the next year, so -- for new power procurement. So -- and you also have a very good pipeline of development opportunities. So could you touch on your potential opportunity in Québec? Do you have partners there and sites that might be eligible for bidding into that RFP? 
Richard Legault: Well, Québec, I think -- as you know, without sort of making political comments, but certainly, Québec's landscape with the minority government has gotten way more complicated than it was. I think at the end, we have always looked at Québec as a potential for us to expand but have failed really to actually find the right circumstance, the right contracts, the right partners. And I would say there is probably no new prospect that I can actually tell you. So we're looking but certainly more guarded based on what we see in the future because we certainly see that if the current government stays in place or becomes a majority in the future, we see a reduction in the, call it, independent power producers of Québec, meaning there's -- be less a push on having private interest build new facilities, at least that's been the publicly -- the public statement the government has made. So at this stage, I would say we're just watching. 
Ian Tharp: Okay, helpful. And then just very briefly on Brazil. You have the 2 projects hydro facilities coming on early next year, and maybe you touched on it in terms of your view of the power markets there. But what are your expectations around the first couple of years of operation in terms of power sales? Are you able to strip it out by month or by quarter? Or is it really into the spot market? 
Richard Legault: None of it is in the spot market. Like in Brazil, the spot market is really a balancing pool, and very little volume gets transacted on that balancing pool. It really is just for utilities or distribution utilities to actually buy whatever their shortages and to follow load. And at the end of the day, like I say, it's not a very efficient market, meaning that -- like I was saying, when there's -- hydrology is high, prices on the spot market are low. And when hydrology is low, then prices go to near maximum. So we don't really want that volatility. So in 2013, I can tell you, we have no maturities. We've contracted all of our power in 2013. And what we're looking at is really what do we do in 2014? Because we do have maturities in that particular year that are not contracted today. We do see that we have some time because, like, the timing for us would probably be midway through 2013 to make a decision. Unless we see opportunities between now and that time, which would give us the right pricing expectation, we'll sort of be patient and let the dust settle on all of the rules that are being implemented today. 
Ian Tharp: Okay, helpful. So by your comments, I take that you have sold the output of these 2 new facilities through at least 2013. 
Richard Legault: That is correct. 
Operator: There are no further questions at this time. I'll hand the call back to Richard Legault for any closing comments. 
Richard Legault: Well, again, thank you very much for joining us this morning. And, really, we look forward to the fourth quarter, and we look forward to a lot of rain. Thank you very much for joining us. 
Operator: Ladies and gentlemen, this concludes today's conference call. You may now disconnect your lines. Thank you for participating, and have a pleasant day.